Operator: Greetings, and welcome to the Pebblebrook Hotel Trust Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Raymond Martz, Chief Financial Officer. Thank you. You may begin.
Raymond Martz: Thank you, Michelle, and good morning, everyone. Welcome to our third quarter 2019 earnings call and webcast. Joining me today is Jon Bortz, our Chairman and Chief Executive Officer. But before we start, a quick reminder that many of our comments today are considered forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our 10-K for 2018 and our other SEC filings. And future results could differ materially from those implied by our comments. Forward-looking statements that we make today are effective only as of today October 25, 2019 and we undertake no duty to update them later. You can find our SEC reports and earnings release, which contain reconciliations of the non-GAAP financial measures we use on our website at pebblebrookhotels.com. Okay. For the third quarter of 2019, our hotel operating results were slightly below our expectations and adjusted EBITDA met the lower end of our outlook, and adjusted FFO at $0.77 per share was in the middle of our outlook range of $0.76 to $0.78. In the third quarter, same property RevPAR decreased 2.2%, which was just below our outlook of flat to down 2%. Same property non-room revenues increased 1.9% and same property total RevPAR was down 1%, which was also slightly below our outlook. In addition to the moderating business and leisure hotel demand that we experienced during the quarter, our South Florida Hotels and Resorts were impacted by Hurricane Dorian in early September, which we estimate negatively impacted same property RevPAR growth by 30 basis points. Overall, our 2.2% RevPAR decline during the third quarter was a result of a 0.6% decline in ADR and a 1.6% decline in occupancy. Our portfolio on a relative basis outperformed our comparable combined STR market tracks, which experienced a 2.6% RevPAR decline, 40 basis points below our same property third quarter RevPAR. We also had approximately 60 basis points of negative impact to RevPAR at five of our hotels that have recently transitioned to new management companies. However, this was largely as we had forecasted going into the quarter. Interestingly, 17 of the 20 market tracks in our portfolio experienced negative RevPAR for the quarter with Philadelphia, Washington DC, and Naples, Florida has only three market tracks that generated positive RevPAR in the quarter. As for Pebblebrook, our best performing markets in the third quarter were Boston, San Diego, Philadelphia and Naples, Florida. In addition, our hotels in 15 of our 20 markets outperformed their respective star market tracks. Our Boston hotels generated a RevPAR increase of 1.7%, which was above the Boston CBD RevPAR decline of 1.7%. This outperformance was driven by The Westin Copley, The Liberty, and W Boston, similar to the trends we experienced during the second quarter. These properties continue to make progress working through the challenges of the Starwood Marriott sales, revenue management, and loyalty program integrations. In addition, The Westin Copley is showing consistent growth all year, including the third quarter as the gain shares as a result of a very significant renovation last year. And W Boston also began to gain share in the third quarter as a result of the rooms renovation we completed at the end of the first quarter. Boston continues to be an outperforming market for us this year, despite its weaker convention calendar. Boston CBD hotel demand was up 2.7% in the third quarter and is up 3.4% year-to-date, and RevPAR is up 1.5% year-to-date. San Diego was another positive performer for us in the third quarter producing a 0.8% RevPAR gain, which outpaced the San Diego market track decline of 2.7%. This was due to solid performance at our Hilton Gaslamp and Embassy Suites hotels in Downtown, San Diego. Our Paradise Point Resort also generated a positive result in the quarter as did our recently renovated Hilton San Diego Resort that is ramping up following its significant renovation that was completed mid-year. Our LaPlaya Resort in Naples, Florida had a tremendous quarter generating 17.5% RevPAR growth, which led our portfolio even with cancellations resulting from Hurricane Dorian in early September. This resort continues to ramp up nicely following Hurricane Erma, and the completion of our major multi-year comprehensive renovation earlier this year, and were part of our property teams continue solid results. Our underperforming markets were the ones we expected. Our Seattle Hotels experienced a 7.9% RevPAR decline, due to supply increases in the market, which as primarily attributable to the new 1,260 room Convention Center Hotel that was added to the market at the end of last year. Despite ongoing healthy demand growth of 9.9% in Seattle from a robust economic pace, which accelerated from the second quarter, the city was not able to immediately absorb its year-to-date 13.1% supply increase, and we expect Seattle to be an underperforming market through the remainder of 2019. RevPAR at our Washington DC hotels was down 4.2%, which underperformed the Washington CBD, which grew RevPAR 4% during the quarter. Our underperformance was mainly due to the recent management transitions at Mason & Rook and the Donovan Hotel in anticipation of the upcoming repositioning’s and major redevelopments above hotels. We expected this near-term underperformance, which is normal for any transitions. Our Chicago Hotel has generated a 6% RevPAR decline, which was slightly below the 5.6% decline posted by the Chicago CBD as Chicago continues to be challenged by its weaker convention calendar and increases in supply growth. We gained meaningful RevPAR share at our hotel Chicago, but gave it back in little more at our Westin Michigan Avenue Hotel as we’ve been unable to overcome the huge group room shortfall, we entered the year with following challenges from the Marriott Group Sales integration. Fortunately, the convention calendar for Chicago in 2020 is much better in our Westin Hotels, up significantly in Group on the books for next year. Our San Francisco hotel has produced a 4.9% RevPAR decline during the quarter, which was slightly under the San Francisco market track decline of 4.2%.  We expected this to be the most difficult quarter in San Francisco, given the unfavorable convention calendar in the quarter, compared to last year and the operator transitions at both the Marker and Villa Florance in anticipation of the upcoming major repositioning’s in renovations of these properties next year. We expect San Francisco to be much better in Q4 given the favorable convention calendar and an already healthy group pace advantage on the books. And finally, our Key West Hotels generated a 5.7% decline in RevPAR, slightly better than the market at 6.1% decline and negative RevPAR performance overall in Key West was mainly due to Hurricane Dorian, which caused a significant amount of cancellations during typically a very busy and profitable Labor Day weekend in Key West. The Key’s also faced a Sargassum seaweed outbreak, which negatively impacted the Southernmost Beach resort during the quarter. The impact on RevPAR from the seaweed was minimal, but we lost an estimated 850,000 in food and beverage revenue and 0.5 million in hotel EBITDA. Overall for the quarter, transient revenue, which made up about 77% of our total portfolio of room revenues declined 2.9%, compared to the prior year. Transient ADR declined by 1.5% in the quarter. Group revenues decreased 2% in the quarter with room nights declining 2.1% and ADR increasing 0.1%. This is primarily due to weak convention calendars in Chicago and San Francisco. In terms of monthly RevPAR growth, July was down 3.9%, August declined 1.9%, and September was down 0.7%.  Our hotels generated 145.1 million of same property hotel EBITDA for the quarter, which is 1.4 million below the bottom end of our outlook. This was primarily due to the weaker business and leisure demand across most of our markets and the $1 million combined negative EBITDA impact from Hurricane Dorian and the seaweed outbreak in the Key’s that I mentioned earlier. Our hotel teams did an excellent job managing expense growth in the quarter. Same property hotel expenses increased just 1.2% during the quarter after adjusting for the impact of real estate tax increases from proposition 13 at the California properties required in last year's corporate transaction. Year-to-date, operating expenses, excluding prop 13 increased just 2.4% even with the continuing investments made in this year improving the guest experience and investing in our employees. As we continue to make progress implementing our portfolio wide initiatives and cost synergies program, we expect to see similar successes limiting expense growth and improving productivity in 2020 and 2021. Moving down the income statement, adjusted EBITDA was 136.5 million, which was at the bottom end of our Q3 outlook range. This was a result of $1.6 million savings in corporate G&A expenses, which offset the shortfall in hotel EBITDA. These savings came primarily from reduced incentive compensation expenses and some timing differences in preopening expenses. Adjusted FFO was 100.5 million or $0.77 per share, which was in the middle of our outlook range. Our interest expenses were 1.2 million below our outlook, which combined with our $1.6 million of G&A savings offset to $1.6 million shortfall in the hotel EBITDA. Due to the 138 million or successfully completed property sales during the quarter and assuming debt paydowns, reviewing our balance sheet at the end of the third quarter on a variety of metric shows that we are in very good financial shape. Our debt-to-EBITDA ratio was at 4.6 times. Debt-to-net assets after GAAP depreciation was at a low of 35%. Debt-to-enterprise value was at 36%, and our fixed charge ratio was at three times. We expect to further improve these metrics and ratios as we complete additional property sales. And finally, a quick update on our net asset value calculation. As we revised, we have revised our estimated NAV within our portfolio to reflect the decelerating economic environment and the performance of our hotels in that environment. As a result, our calculated NAV has been slightly reduced to $36.25 to $41.50 per share with a mid-point of $38.75 per share, which implies and NOI caprate of 5.8% at the midpoint. Based on our current share price of approximately $27, we trade and implied 7.3% NOI caprate, which is more than 30% discount to our midpoint of our NAV, while also providing a healthy 5.6% dividend yield. Now with that update, I like to now turn the call over to John.
Jon Bortz: Thanks, Ray. As noted in our press release, the third quarter was more challenging than we expected. The rate of demand growth continued to modestly slow from the second quarter in both business and leisure transient, and September was particularly disappointing, given the benefits that were expected from the Jewish holidays shift into October. Slowing economic growth around the world due to the trade war and continuing geopolitical events and uncertainty have clearly had an impact on business confidence, which is translating into slightly more cautiousness by businesses in investments and spending. This is also evidenced and travel, where trailing 12-month hotel demand growth has decelerated from a range of 2.7% to 3% a year ago or so to 2% to 2.1% most recently. This slowdown in demand along with the weaker year in group business across the industry has pressured ADR growth, which has also slowed from our trailing 12-month growth rate of 2.4% to 2.5% a year ago to 1.2% to 1.5% in the last quarter. When trends are changing in either direction it becomes harder to forecast, primarily because our business forecast are based upon the consistency of trends. Since so much of our business in this industry has booked short-term and even business booked further out like larger group business can quickly shrink or cancel. Forecast variances can change quickly. While the demand trends this year have been moderating, the good news is, we haven't seen any increase in cancellations or attrition, and we’ve not heard about any changes in corporate policies related to travel. And average spend per group customer has also shown healthy increases all year, while industry RevPAR growth has been softening. The Urban and Top 25 markets have continued to underperform the industry. We believe this is primarily due to negative shifts in international travel and a relatively higher rate of supply growth in the industry in the Urban and top 25 markets. Inbound international travel has been weak, if not negative this year, and outbound travel meaning U.S. citizens travelling abroad is up significantly. Some of this is likely due to the strong dollar and some is due to U.S. policies in rhetoric that make it much more difficult or desirable to come to the U.S. For Pebblebrook on a year-to-date basis, we’ve outperformed our markets. We’ve outperformed our local competitive hotel sets in terms of gaining RevPAR share. We’ve outperformed the Urban in Top 25 markets as reported by star, and we performed in line with the industry. In the third quarter, we also outperformed our markets and competitors, but due to more challenging convention calendars in a number of our markets in the third quarter, and the 60-basis point impact from operator transitions at five of our properties, we underperformed the Urban and Top 25 markets as we expected. And as Ray stated earlier, Hurricane Dorian took about 30 basis points off our RevPAR performance in the third quarter. The fourth quarter, which has been shaping up since the beginning of the year to be a very good quarter for us due to favorable convention calendars in a number of our markets doesn't look as good as it did 90 days ago as demand growth and pickup trends have softened. Nevertheless, our pace heading into the quarter continues to be extremely favorable. Specifically, as of the end of September, total roommates for the fourth quarter are up 5.4% over the same time last year with ADR up 1%, and total revenues up 6.4%. Group pace is even stronger for Q4 with Group rooms ahead by 6.2%, Group ADR ahead by 5.6%, and Group revenues ahead by 12.1%. So, you can see pace is still pretty strong for the fourth quarter. The challenge we’ve been experiencing relates to in the quarter, for the quarter pickup. It’s been down on a year-over-year basis, and we expect pickup that we can further in Q4 based on current trends. As a result, we’ve lowered our same property RevPAR and EBITDA forecast for the fourth quarter to anticipate further softening. Now, let’s pivot to how Pebblebrook is going to continue to create value for our shareholders, regardless of the economic environment. I’d like to break this down into three discussion topics. First, the repositioning’s and redevelopment opportunities throughout the portfolio. Second, an update on our strategic disposition plan. And third, progress with our portfolio wide initiatives. While we made the decision to pursue the acquisition of LaSalle, we believe there was a significant opportunity to increase the value of the acquired portfolio by not only creatively repositioning a significant number of properties to drive higher room revenues, but also by utilizing and redeveloping the real estate more creatively to drive higher non-room revenues such as in the areas of food and beverages and room rental, just as we’ve done over the last nine years at Pebblebrook. After spending almost, a year now, evaluating the opportunities and creating an overall comprehensive plan for each hotel, we’ve come to the conclusion that there are more property and portfolio wide opportunities than what we originally anticipated. Today, we believe there are 16 properties within the portfolio that can benefit from substantial investments that will reposition them to a higher competitive level, improve the guest experience, and drive very attractive returns. While we've made numerous operator and brand changes to position properties to maximize performance upon redevelopment and we have a few more to go, we feel like we are in a very good place now to start this value creation process. Over the past year, we’ve been feverishly planning these redevelopments with our designers, architects, operators, and project managers and we’re extremely excited about the opportunities. I’d like to give you the broad parameters of this investment program, the returns we expect to drive the timing and some details about a few of them. Today, including what we disclosed in yesterday's earnings release, we’ve announced and provided details on eight of the projects. The Donovan Hotel, which will become the seventh hotel in the Unofficial Z Collection following it’s reopening in the second quarter next year as Hotel Zena after completing a $25 million repositioning and re-concepting. Mason & Rook, which will join the Viceroy Luxury urban collection, following an $8 million upgrade, which is expected to be completed by mid-year 2020. The first phase of the repositioning of Viceroy Santa Monica consisting of $12 million to reinvigorate this properties reputation as one of the most iconic luxury lifestyle hotels in the highly supply constrained Santa Monica market. The $12.5 million repositioning of Le Parc in West Hollywood through a comprehensive renovation of this entire all-suite hotel. The repositioning of Chaminade Resort & Spa in Santa Cruz following the completion of a $10 million upgrading of the properties vast indoor and outdoor public areas and meeting and event venues. The second phase of the redevelopment of the Hilton San Diego resort, which includes a $10.5 million upgrade of the property’s public areas on top of the just completed $21 million of improvements to the hotel's guestrooms and meeting space. Completion by year-end of the $5 million repositioning of the 96-room Marker Key West, and finally the $37 million redevelopment and the flagging of San Diego Paradise Point Resort as a Margaritaville Island Resort with the redevelopment not expected to commence until the second half of next year with reflagging targeted for late next year. All but two of these projects will commence either late this year or early next year and be completed by no later than mid-year next year. The Marker, Key West and Paradise Point are the two exceptions with the Marker already underway, and Paradise Point starting after public approvals sometime in the second half of next year. These eight redevelopments total an estimated investment of approximately $120 million with about 75% of this capital representing ROI related capital and 25% representing regular capital maintenance or renovations in the ordinary course of the property's life. We’re forecasting that this repositioning capital will generate on average a 10% return on investment upon stabilization, which we typically get to between three years and four years following completion. In addition to these eight projects, we anticipate commencing an additional seven repositioning projects by the end of next year or early in 2021 with the majority of the work and investments occurring over the 2020 to 2021 winter and one last project in the summer of 2021. As previously discussed, some of these projects will involve us making operator or brand changes as part of the value creation process. All told, we’re currently forecasting that there 16 major repositioning projects will represent a total investment of approximately $260 million. With roughly two-thirds of the total amount projected to represent ROI projects, which we underwrite to generate an increase in EBITDA equal to a 10% return on investment upon stabilization. In addition to taking advantage of the opportunity to drive higher average room rates and RevPAR at these properties as a result of their repositioning’s, many of these major projects include creatively improving the real estate to generate opportunities to drive an increase in food and beverage revenues through the upgrading of expansion or development of new experiential venues. For example, as part of the Donovan conversion to Zena, we're dramatically improving the rooftop and the ground floor. On the rooftop, we’re taking advantage of one of the few hotels in downtown DC with the rooftop pool and additional rooftop real estate by upgrading the experience and adding very desirable rooftop venue space. And on the ground floor in addition to creating a lobby bar, we’re adding a combination game room, restaurant, and event venue. At Viceroy Santa Monica, we're converting the indoor restaurant into a lobby bar with food opening it up to the outdoors adding a highly desirable outdoor bar and substantially improving the outdoor pool and venue experience. At Mason & Rook, as part of the conversion to Viceroy, we’re increasing the amount of venue space, making the existing meeting at venue space much more unique and attractive, adding a lounge, converting outdoor bar space to a year around bar, and event venue, and adding a cafe. At Chaminade Resort, we're substantially increasing and improving meeting and venue space through numerous projects, including combining to an attractive and underutilized meeting rooms to create a second major ballroom for the property, dramatically improving and expanding the outdoor wedding and event venues, and increasing and enhancing the outdoor bar seating. Our second phase project that we’re master planning now involves adding significant and active resort amenities such as ZiP lines and aerial adventure park in the forest on the property, axe throwing facilities, as well as additional experiential indoor and outdoor wedding, meeting, and event venues on a portion of the properties underutilized 300 acres, which have spectacular views of the Santa Cruz Mountains and the Pacific Ocean. This is truly incredible real estate and is just 45 minutes from Silicon Valley. We’re also working on adding tree houses, as well as other substantial glamping facilities. Paradise Point as part of the property’s conversion to a Margaritaville Island Resort we expect to add multiple unique and highly desirable indoor and outdoor wedding, meeting, and event venues throughout the properties 44 acres, along with an additional and expanded bar, restaurant, and music venues on the property. These are just a few examples of our approach to creating value and better utilizing the strength of the very unique and flexible brand unencumbered real estate we own as a result of LaSalle portfolio acquisition. Not only will these projects allow us to drive significantly higher ADRs, non-room revenues and EBITDA, but they are a key part of creating unique experiences that will make each property much more attractive to group and transient business, both business and leisure customers. We look forward to announcing the arrest of these very exciting and financially attractive projects in the coming quarters and providing you with the details of the opportunities to creatively redevelop and reposition these additional hotel properties. Next, I'd like to make a few comments about the progress on our strategic disposition plan. Including the Topaz, for which we have a hard money contract, and assuming a transact this quarter, we will have sold 12 hotels from the acquired portfolio for gross proceeds of just over $1.3 billion at a combined NOI cap rate of 5.4% and a combined EBITDA multiple of 15.9 times 2018 operating numbers. Our numbers also don't add in required capital even though most of the properties sold need significant capital. Recall that we acquired the entire company with all corporate and property transaction costs at a 5.9% NOI cap rate, so our sales of these less desirable properties have certainly been accretive to value due to higher sales prices than we paid for them. Our total disposition target for 2019 has been $600 million assuming that Topaz transacts will have achieved $482 million of sales. The Topaz represents the last hotel we intend to sell this year. What remains to be sold this year to reach our $600 million sales target includes income producing pieces of several hotels that we’re separating through the condominiumization of the retail, restaurant and entertainment, and at least in one case, the parking real estate separating that from the hotel real estate. Due to the extended time it’s taken to complete these legal separations, we no longer believe these transactions will close this year, but we do currently expect that it's likely they'll be under contract by the end of the year with closing next year. We’ll also be looking to sell an additional $300 million to $500 million of properties over the course of next year.  All of these sales taken together assuming they happen should not only get us to our corporate leverage target, but provide additional proceeds for either further debt reduction, calling of preferred shares, or repurchasing our stock, all depending upon market conditions at the time. Finally, I want to provide a quick update on our progress on our portfolio-wide initiatives before we move to Q&A. We continue to make progress on maximizing the opportunity to re-contract many products and services that we purchase within our portfolio. We’ve now re-contracted from us $5 million of annual run rate savings within the portfolio and have identified another $1 million of savings that should get finalized in the next quarter or so. We’ve another $4 million estimated and identified, but with a longer lead time to finalization.  We’re on a good pace and continue to believe that the $10 million of targeted annualized savings will be successfully achieved by the end of next year. And as a reminder, this potential $10 million of annualized savings was not underwritten as part of last year's corporate acquisition and represents an additional opportunity identified following the closing of the transaction. To wrap up, we believe that regardless of the economic environment we find ourselves in over the next few years, we have a significant number of organic, substantial value creation opportunities within our new combined company that we've identified and they fall within our core expertise having demonstrated a long track record of success executing on these types of value creation opportunities. So, we’d now like – be happy to answer questions that you may have, and operator, you may proceed with the Q&A. And before we do that, just one reach out to our favorite team here in Washington, the NAT, so let's go NATs.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Wes Golladay with RBC Capital Markets. Please proceed with your question.
Wes Golladay : Hi, good morning guys. Can you give us your view on supply next year relative to this year? Any markets peak in this year or next year? And then, maybe your view on city-wide for next year as well?
Jon Bortz: Sure. So, Wes, when we look at our markets, which I presume you’re asking about, because I think the industry is probably still going to run in about the 2% range that it's running give or take in 2020 before it begins to decline in 2021. Sort of the same trend is what we’re looking at for our portfolio. I think this year, our weighted market supply growth, right now, is running about 2.7%. So, again, it's come down a little bit as projects have been further delayed into next year.  In 2020, we’re looking at about 3%. Again, by the time 2020 ends, we expect that will be slightly below that. And then in 2021, in our overall markets, again, the weighted average supply growth, at that point, we’ve got it running below 2%, so a nice drop from 2020. When we look at markets that our improving Atlanta, Buckhead, it’s down to almost nothing in 2020; Boston goes up a little bit in 2020; Chicago comes down significantly from a little over 4% to a little over 1%; DC comes down a little bit down into the mid-2s from the mid-3s; Hollywood, Beverly Hills goes up a little bit to 4.5% from 2%, little over 2%, which has come down from our early forecast, due to delays; pretty much no supply in Key West. We have Manhattan over 4% next year, up from the mid 3s; Nashville, believe it or not coming down from 15% to 13.5%; Phili, up with the delivery of the 700-room [indiscernible] sometime next year presumably. That’s a project that’s probably 18 months delayed at this point and continues to push out there – a potential opening date. Portland pops up West with a 600-room convention hotel across the river to 10%, so a continuing tough environment from this year's 6%. San Diego drops in half from 3% to 1.5%; San Francisco from flat to up about 1% next year, so still very limited in San Francisco. And then, Seattle comes down from the 11.5% we’re currently forecasting for 2019 down to a much more reasonable 3% in a market with very strong underlying economic. So, that’s kind of how the supply growth falls. And then, when it comes to the convention calendar, the markets that are up includes Chicago, DC, Boston, Nashville is flat, Atlanta be a little worse with Super Bowl. San Diego is a little better next year as well in the markets. San Francisco, as you know, be down a little bit, but still at the second highest ever off of this year's record year. And then, Seattle looking to be roughly flat; Portland flat to slightly better. So, those would be the larger markets for us overall.
Wes Golladay: Yes, fantastic. And then…
Jon Bortz: So, on average I’d say they're – you know, they're better across the country in the major markets as this year was a worse on average across the country. 
Wes Golladay : Okay. And then, maybe… 
Raymond Martz: Hi, Wes, it’s not there for 2020. The holiday calendar is much better in 2020 as well for where the holiday is falling in the days of the week in timing. 
Wes Golladay: Okay. Yes, good point. Looking at the disruption or maybe for public work next year, you had a lot of manager transitions, brand integrations; you still have redevelopments next year as you do this year. What’s the net impact of all the noise? Is it going to be a wider, comparable, worse?
Jon Bortz: Yes. I think what we know right now – and keep in mind, we don't have a single budget yet for next year, but based upon the level of investment and disruption that we expect, we think it will be roughly similar to this year. There’ll be some additional operator and brand transitions next year as well. And so, give or take, a couple of million dollars in either direction. I think this year in total, we’re running about $8 million to $9 million of renovation and operator disruption, and I would think it’s going to be in the same ballpark, you know, give or take, a minor amount. 
Raymond Martz: And, Wes, in terms of RevPAR disruption, that’s about 60 basis points or so in 2019 of impact from renovations.
Wes Golladay : Okay. Alright, thanks a lot, guys.
Operator: Thank you. Our next question comes from the line of Smedes Rose with Citi. Please proceed with your question.
Smedes Rose : Hi, thank you. I wanted to ask you, you talked about some of the impact of the transitioning to the – to new managers. How long does that usually take before things are kind of rated on front? And kind of what specifically are the things that drag down results when you have a transition change? Is it to do with the way that bookings are made? Or is it on-staff changes or maybe just some of the specifics around that?
Jon Bortz: So, it’s usually a combination of those things. So, it would be an impact of business coming through your distribution channels. So, typically, you’ll have a different GDS code, as an example. So, your customers are going to have to find you and your corporate accounts will need to find you with different online input information than what they were doing before. Occasionally, there's changes in the executive teams and in the systems, and so, those cause disruptions as well at the property level. Sometimes they’re much more limited. So, as an example, we’ve had pretty much no negative impact at all with the Skamania Lodge in the Columbia River Gorge. The entire executive team stayed on; the system changes were minimal, other than the GDS code. And so, there is an example of where it was limited. Paradise Point, when we change from destination to Davidson. Again, we kept the name, and so, that didn't change, and the system changes were relatively minimal so – and the team did not change at the property level. So, it really depends upon those primary categories. It's your technology and how it impacts your demand and your distribution channels, and then your executive team leaders.
Smedes Rose: And how long does it usually…
Jon Bortz: Yes. It varies on how much – how many of those things have changed and how substantial, but it can be as little as nothing and it can be as long as a year.
Smedes Rose: Okay, okay. And then, just – the other thing I just wanted ask, you mentioned better group bookings at the Chicago Westin, and you mentioned just some weakness coming into this year with changes on the Marriott system, do you feel like that’s behind you now? Are you happy with the way that the group bookings through the Marriott system are going? I know it's a lesser piece of your business overall relative to others, but since you called it out, I wanted to follow-up on it.
Jon Bortz: Yes. You know, well, one, it actually still – it’s a material part of our business because those properties that – the three Westins, as an example, the two luxury collections, the two W’s, they’re large – they’re large properties, and so, they do have a material impact on our business. I would say, we’re behind most of the Marriott issues, and I would say it's probably neutral to beginning to be a tailwind. We still have some sales issues in the San Diego cluster at our Weston where we’ve fallen behind from a pace perspective that impacted this year and we’re behind next year in a market that has increasing group in the market next year. And our other properties are generally up in the San Diego market. So, we have some work to do there. And then, the loyalty changes – so I don't think we’re behind those because I don't think we’re ever going to get back to where we are. I think our properties, because they came out of the Starwood system, and we’re probably one of few choices in markets now fall into a larger system where there's lots of choices and I think we’re never going to get that redemption business back. And so, you know, we’ve been working very closely with Marriott. They’ve put a lot of resources on trying to replace that business with other business and while we've not replaced it all, we’re making progress and that's a nice positive. So, still have work to do; we've lost – we lost a lot of share in our Marriott’s and we’re beginning to gain a little back, but we got our ways to go.
Smedes Rose: Great. Okay. Thank you, appreciate it.
Operator: Thank you. Our next question comes from the line Aryeh Klein with BMO Capital Markets. Please proceed with your question.
Aryeh Klein: Thanks. So, from an asset sale standpoint, in 2020, you mentioned the $300 million to $400 million in sales. As part of that, are there specific markets you’d look to deemphasize? And then, also you did raise the assumed cap rate on the portfolio, and so, given the challenges, has there been any change in buyer appetite and the pricing they’re willing to pay?
Jon Bortz: Yes. So, as it relates to pricing, the answer is no. We haven't seen any change. I think the midpoint of our range moved to 10, and that's just the way that – when we look at each individual hotel, and we adjust for renovation impact, and operator transitions, and hurricanes and other things, you know, there's been performance impact on 2019 numbers and it depends on how it falls by property in terms of what it averages out. So, in this case, it's averaged out to about a 10 full point higher on 2019 numbers that are a little bit lower than 2018 numbers in the aggregate. I think as it relates to your other questions about specific markets, you know, we’ve sold down all but one property in New York. We continue to have a negative view on that. And then, I think as it relates to additional properties beyond the “non-hotel real estate” that we’re looking to separate out and sell, you know, there are other – some other markets that, as evidenced by our sales in DC, that, you know, we continue to want to deemphasize, so primarily East or Midwest markets being deemphasized and West Coast markets being emphasized. 
Aryeh Klein: Alright. And then, you have the Donovan joining the Unofficial Z Collection. Are there any others as part of the 16 hotels you’ve identified that could also join that platform?
Jon Bortz: There are and we think, you know, within 24 months, the Unofficial Z Collection is likely to be at 10 or more hotels of the existing portfolio. The next one after DC will be the redevelopment of the marker in San Francisco, and we think that renovation should begin late next year, probably be complete in early 2021, and that would also become a member of the Unofficial Z Collection. Outside of that, I wouldn’t want to identify any specific properties, but we've identified them internally.
Aryeh Klein: Thanks.
Operator: Thank you.
Jon Bortz: Next question operator?
Operator: Our next question comes from the line of Steven Grambling with Goldman Sachs. Please proceed with your question.
Steven Grambling: Hi, thanks. Could you just elaborate a little bit more on what you're seeing in the transaction market, specifically as you think about the mix of buyers, the speed of how these transactions are occurring and your general interest as the broader environment has softened a little bit here?
Jon Bortz: Yes. I think the – you know the broad characterization for the buyers on the kind of assets that we’re selling, meaning major market in many cases unencumbered assets many with value creation opportunities, I would say the buyer pool is primarily private equity and high net worth individuals with a few institutions sprinkled in, a very occasional foreign buyer, particularly if they’re a brand company or have a partnership with a brand company that might be looking for distribution in the U.S. and their focus would be, you know, one of the major markets, including where we might be selling. So, its folks primarily taking advantage of the very attractive debt markets and/or looking to place, you know, capital from high net worth individuals who look at the alternatives and find hotels to be very attractive from a yield perspective.
Steven Grambling : And I guess maybe related follow-up to a degree I guess if the current environment in terms of the soft RevPAR backdrop, you know, continues or even deteriorates further, does that change how you think about how you’d operate the business or even pursue dispositions from here?
Jon Bortz: Well, in terms of the additional sales that we've identified, yes, I mean the values will matter in terms of whether we ultimately pull the trigger or not. And so, if the values at some point do get impacted that might change our decision on some of the potential sales. I doubt that that would be the case on the non-hotel pieces. I think those markets are probably a little bit more stable and hard to believe, you can say the retail business is more stable than lodging, but I think a lot of the bad news has already come out. And as it relates to capital investment, I mean there are projects that we’ll be doing that if we don't do them, they’re going to lose more share. Their properties that need to be renovated, they’re losing share today and not putting the capital and is going to continue to damage their positioning in the market. There are some other projects, you know, like some of the ones we identified at Chaminade in the second phase, that are ROI related, and you know, perhaps we can differ those, they will always be available to be done and they’re not necessarily going to have a direct impact on the position of the property, which is already being repositioned with the current project.  So, it could change the way we look at that. It certainly could change what we do with any excess proceeds that get generated out of sales next year and what we do with those proceeds. And as it relates to operating the properties, I mean, you know, until you – I think the way we approach it today is we’re – our focus is not on – it's not on, I don’t know, I hate to say cost control, you always – you're always in an appropriate level of process and procedures and fundamentals of making sure you don't make mistakes, and over time or scheduling or things that basically where you waste money on an operating basis. But generally, we don't make across-the-board cuts in this kind of environment. We’re really – we wouldn't do that until we got into a recessionary environment where the customer understands that they’re in an environment where they may get a little bit less for their money than what they used to get or they’re going to be paying less and they're going to get less in an effort to reduce costs. Similar to what we did back in 2008 and 2009 and what we did back in 2001 and 2002 where we had arbitrary reductions within the portfolio and we just had to figure out what would have the least impact on the customer, what wouldn’t have an impact on the long-term value of the real estate, and let's try to save that money in the near term, while we’re in the depths of the recession, and then, we’ll put those things back as the economy begins to get better.
Steven Grambling : Makes sense. Thanks so much for all the color.
Jon Bortz: Alright. Thanks Steven.
Operator: Thank you. Our next question comes from the line of Michael Bellisario with Robert W. Baird & Company. Please proceed with your question.
Michael Bellisario: Good morning, everyone.
Jon Bortz: Good morning, Mike.
Raymond Martz: Good morning.
Michael Bellisario: Just kind of on the fundamental front, and then, also your view of customer preferences, have you seen any diversions in performance between your branded and independent properties kind of manager transitions aside? Were there any maybe widening between renovated and non-renovated properties? Just trying to think about how that might be impacting performance, and you know, which hotels you're targeting for sale versus repositioning?
Jon Bortz: I’m not sure I fully comprehend that.
Michael Bellisario : Just in terms of – I guess maybe just on the first part, the branded versus independent, any change in performance or the way your viewing trends within your portfolio specific to the brand versus independent side?
Jon Bortz: No, no. They’re performing similarly in the environment as it’s changing.
Michael Bellisario : And then, in terms of renovations, I know you’ve talked about getting less list today or recently versus several years ago post renovation, is that still the case? Or does the focus have to be more on the ROI projects and all the stuffs that you listed in your prepared remarks?
Jon Bortz: I think of as – you know as the environment softens, what happens is the upside stretches out. I mean your ability to get to the competitive positioning that from a RevPAR perspective that you would anticipate with the capital that you’re investing might move from three years to four years, as an example, depending upon what those last few years look like. It’s easier to gain share in a stronger environment and it takes a little longer in a softer environment. So, from that perspective, I mean we’ve tried to build that into our underwriting as we look at these projects, and you know, they’re so lucrative that whether it's three years or four years or even five years in some cases, it doesn't really impact the numbers because most of it is going to be achieved in the first couple of years.
Michael Bellisario : Got it. That’s helpful. And then, just one clarification, I think I heard you say [300 to 500] next year, how does that…
Jon Bortz: Yes.
Michael Bellisario: What's changed there versus the 350 to 400 that you kind of hinted at last quarter? And where does the 4Q unidentified disposition fall into each of those buckets?
Jon Bortz : Yes. So, the three to five does not include any of the six from this year whether it closes before the end of the year, or closes early next year in terms of the non-hotel pieces that are out on the market. Next year is a little higher. I think we had indicated that we were thinking about bringing some additional properties to the market given the pricing in the market and that’s what’s really driving that increase in the upper end of that range.
Michael Bellisario: That’s helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Bill Crow with Raymond James. Please proceed with your question.
Bill Crow: Hi, good morning. Thank you. John, is there any reason to think that Urban and Top 25 markets can perform closer to the overall industry next year?
Jon Bortz: There are lots of things that could cause that to happen in terms of improving the trend line and one of those would need to be a change in the international inbound travel. I think we’re going to be down this year. That's the way the numbers are tracking and trending right now as the dollar strengthened over the course of the year. If we see a reversal in the dollar and it begins to move back in the other direction, you do have global travel growth running in the 4% to 5% a year range, so we’ve been losing significant share. So, that would be one way, Bill. Second would be to get back to a more favorable rhetoric or environment that encourages folks to come here and also is – follows the processes and procedures that were done prior to this administration so they’re getting a visa to come to this – to the country for meetings or for travel is also back to – I don’t want to say a normal level, but the level that it was at before the last couple of years. So, those things would help. We’re not going to solve the supply issue next year in the urban markets as I said. I think it's going to run up for our weighted average, but I think the Smith Travel urban category, the major cities are still going to run in that 3% range, but that – but after that, they begin to come down and we should see some benefit at that point. The last piece would be to see, you know, a meaningful pick up in business travel, which the major urban markets generally benefit from and when it softens, we generally suffer from. So, any of those things could happen, but certainly not we don't see any indication of that just yet.
Bill Crow: Yes. It seems like maybe we have to wait until after the election to see what happens in business travel. But as we think about fourth quarter and transitioning from a minus 2.2% RevPAR decline or RevPAR growth to 0% to 2% on the positive side how much of that is driven by really easy comps from last year? I heard your comments on group and pace being better, but I think you also had some labor issues and integration issues that made for an easy comp? Is that, am I remembering correctly?
Jon Bortz: Yes. There were definitely some impacts from the strike. The strikes that occurred in the portfolio. I would say more of the impact from the strikes has to do with the bottom line than the top line. I mean interestingly markets like Boston; the Copley actually did better last year. We actually had some group displaced because of the strike and reseller with transient at higher rates. And so, on a RevPAR basis it was better. We lost some food and beverage and there and had a much higher operating cost for security in Boston Police and replacement workers in terms of people who flew in to help the team clean their rooms every day. But I would say the biggest impacts are the convention calendar Bill and at the edges there's some benefit from, particularly EBITDA for the properties that had strikes last year.
Bill Crow: Great. One more for me Jon. It was announced over the past week or so that Marriott is going to relaunch the W brand and you have some exposure to that brand obviously what do you think that means to you, and from a certainly probably more expensive, but any thoughts there?
Jon Bortz: Yes. I mean I don't we don't really know enough about it Bill. They've not shared a whole lot at this point. I think that W will benefit as a brand from what I would describe as growing need to grow up. It's a luxury brand. And I think its 20 years old in some cases in terms of sort of the; I don't know the vernacular of the brand. And so, I presume it will all help at the end of the day. We've recently renovated the WLA completely and we are just finishing up adding some meeting space that used to be a spa there and we just redid the W Boston completely. So, as it relates to anything, they might be doing physically those are things that would be many, many years off at our properties unless they were minor. But hopefully they can improve the positioning of the brand, the vernacular make it a little more sophisticated than it is today, which is more dated. And that would improve performance overall for the brand.
Bill Crow: Okay, appreciate your time. Thanks.
Operator: Thank you. Our next question comes from the line of Jim Sullivan with BTIG. Please proceed with your question.
Jim Sullivan : Thank you. Good morning, guys. Quick question for you Jon. Obviously, for many years you've chosen to overweight the West Coast and that served you well. And we have talked you've talked about the supply issues in both Seattle and Portland now for a couple of quarters. In this quarter three of the markets that underperformed expectations were San Diego, L.A., and San Francisco. And I just wonder as you think about that, is it your view that the reason for that were they were all market-specific reasons? Or was there something that was generic that applied to all three that might suggest some weakness in demand in California generally?
Jon Bortz: Yes. They were all local-market-specific issues Jim. San Diego was the convention calendar. L.A. is supply growth. But part of it is supply growth downtown versus in West L.A. and San Francisco was completely the convention calendar. I think what we’ve seen on the corporate side is very strong underlying corporate growth. And I guess maybe Jim maybe one thing that could be attributed to all the West Coast markets is just the international travel demand. And I would say that probably impacts them all. Different countries impact different cities differently, but an overall weakness in international inbound would impact all five markets.
Jim Sullivan: One other factor. I know earlier in the year, particularly in Southern California L.A. specifically the weather was a factor. We talked about that I think back in the after the first quarter when there was persistent rain. And we have a continuation of events whether its fires or other issues that have seemingly impact the state on a regular basis. Have you seen any increase in cancellation at all that one might attribute to concerns about factors like that?
Jon Bortz: No. I mean back in the spring I wouldn't say cancellations, but weak bookings when the weather forecasts were for rain in San Diego or L.A. or snow in Portland and Seattle, but in terms of the last quarter into October related to any fear of fires or anything else I'd say, no we haven't heard anything from our properties related to either cancellations or frankly weak bookings.
Jim Sullivan: Okay, very good. Thanks, Jon.
Jon Bortz: Thanks, Jim.
Operator: Thank you. Our next question comes from the line of Neil Malkin with Capital One Securities. Please proceed with your question.
Neil Malkin: Hi guys, good morning. Just looking at supply kind of peaking over the next couple of quarters give or take some delays look at demand trends and the hesitance on the business transient side or corporate confidence? I mean is it – are we in a lodging recession right now? Or are we heading there? I guess high-level views or whatever would be great.
Jon Bortz: Well it depends on what your definition of a lodging recession is. So, interestingly, I mean Ray mentioned 15 of our 20 markets were the actual markets not our properties, but the markets were negative in the third quarter. That's definitely up from prior quarters. And if you look at 10 of the last 15 weeks that the industry has been negative. If you want to describe that as a mini-recession or recession. I mean you could describe it that way. I don't think we are in a macro recession at this point, but we are definitely in a softer economic environment than we were a year ago and there probably are some economists out there who might say we are in recession as a – on a macro basis or close to it, but those I'm not sure there's much consensus that that's the case at this point. So, I guess it depends upon what – how you describe it, and we’ve gone through these sorts of many recessions back in 2013 and 2016 when business when corporate profit growth slowed or flattened out and we saw that come through in weakness in demand and then it popped back up as the economy got better. So, I think it's purely definitional. And it's certainly not a recessional right now. And I wouldn't think on the macro side.
Neil Malkin: Yes. No, I would concur on that. I just I know I don't think we have had a streak this long of negative RevPAR posting. But so, I appreciate that. Other one for me is, you talked about your expanded ROI initiatives three to four year out time line to stabilize talking about 10% IRR or ROI. I'm just wondering a couple of things. One, are you baking in this current low to potentially may be going negative RevPAR environment in those underwriting decisions? And the 10% ROI is that assuming you hit that in year 3 or 4? Or is that like the IRR you're targeting? And then the last part of that would be, you know the stocks down 3.5% today. I just wonder do you think that has anything to do with the fact that you're going full steam ahead into the ROI projects at a time when maybe the market thinks it's not a good idea, or any commentary on that would be helpful as well.
Jon Bortz: Sure. So, on the last point we haven't I've been doing this for 21 years now. I'm the faintest idea why the stock goes up or down in any given day. And the project profile that we’ve laid out is no different today than it was last quarter or the quarter before and I think we’ve been pretty consistent in saying, we'd be proceeding with those regardless of the economic environment for the most part. So, I wouldn't have any idea why the market would be down. We thought we'd be up 5.5% today based upon what we reported because that seems to be the normal response the next day from releasing your earnings in the lodging space. And sorry, what was the first question?
Neil Malkin: Yes. The first thing was the, you talked about your IRR your ROI about 10%.
Jon Bortz: Yes. So, the 10% is stabilized EBITDA yield it's not an IRR. I want to be clear about that. The IRRs would be much higher than at 10. So, these are stabilized EBITDA yields. Think about it as a 10 as, you know 10x so if we trade at 15x there is a value creation of 50% of the investment. And yes, we don't typically get there until three to four years after the completion and it's providing both nominal and relative performance yield. So, in a down environment are we going to get a 10 and if we stay down? We wouldn't get a 10 nominally, but we are going to get a 10% on a relative basis by significant out performance. So, that's the way we have to look at it, are we getting a good return on that capital? What would have been otherwise had we not invested.
Neil Malkin: No, that's fair. I guess the reason I'm asking is even though you're saying relative you'd outperform. If you invest money and the market is down 10% and you're only down 5%. I mean if you run that out as a starting point that it's going to be harder to get to a sort of desired return on that capital longer term, does that make sense?
Jon Bortz: Yes. I don't, I'm not sure that's accurate because if we are increasing food and beverage revenues because we have more venues, I mean again, that a lot of some of this revenue has absolutely nothing to do with RevPAR. Yes, it has to do with the overall demand environment and the recessionary period, but if we outperform – if we drive ADR growth and therefore revenue growth whether it's nominally a relatively, compared to where we would otherwise be, we’re going to get that return on that capital. And ultimately when the market comes back and we’re at that higher penetration level and competitive level, it's going to come through in driving very attractive returns nominally at that point on those dollars.
Neil Malkin: Good point. Yes. I appreciate the color Thanks. 
Operator: Thank you. Our next question comes from the line of Gregory Miller with SunTrust Robinson Humphrey. Please proceed with your question.
Gregory Miller: Thanks. Good morning. Since the last earnings call, we saw the merger announcement of two very large third-party management companies Cambridge and Interstate. Do you view this consolidation trend as a positive or negative given Pebblebrook has many independent management companies as operators?
Jon Bortz: That's a good question. Well, we’ve been seeing it for the past few years, right, both – at all levels. We've seen it at the brand level. We've seen it at the operator level with not just that transaction, but destination selling themselves to Hyatt with Kimpton selling themselves to IHG. There are a number of other independent operators and franchise operators that have consolidated as well. It comes with pluses and minuses, frankly. I think that the smaller companies are going to continue to have a harder time competing because of the cost of technology and the channels and where the business comes from and where it's going to come from in the future. And so, I think by combining there are clearly business model benefits on their side, but for that we prefer not to see the consolidation on the operator side. We like having lots of different operators. We like a lot of the smaller operators the people who run those businesses tend to be very actively involved. And very experienced and being in many cases very creative, but one of the things that we’re doing is part of the genesis of or the rationale behind our own proprietary brands is that even if the operators consolidate if we don't have to change the name of the property or the brand and we’re just changing or combining an operator at the lower level then we don't really – we won't really see much of an impact on our performance. So, from a defensive perspective there are some benefits to having our own brand or brands at the end of the day where we control whether there ultimately is consolidation at the property level within our portfolio.
Gregory Miller : Thanks, john. That's all from me.
Operator: Thank you. Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your questions.
Anthony Powell: Hi, good morning. Maybe a follow-up on my question. You've expanded the Z collection quite a bit and you call it unofficial. Why not make it official? Is there a way to benefit from an official brand? And is there a group sales benefit or branding benefit? Just commentary on that would be great?
Jon Bortz: Sure. So, it's unofficial because it truly is unofficial at this point meaning it doesn't really mean anything yet. It's been created or we’re creating it out of a bunch of individual properties that we named with the Z, but in many cases have very similar DNA and attitude and personalities, but I think we’ve said before the "unofficial Z collection brand" itself doesn't drive anything right now because we haven't connected anything. If you mean why don't we move forward and connect it and try to get some benefit out of them all being part of that unofficial Z collection, the answer would be yes, that is in fact what we are doing what we have commenced this year and what we would be doing when we add a “brand website” for the unofficial Z collection. What we won't do is add our own GDS. We'll still book through the existing channels that our properties book through, but if we can create a connection in the eyes of the consumers even in a market like San Francisco or D.C. or Portland where there'll be crossover of customer from one to the other we will get benefit out of the brand the brand ultimately whether we call it official or unofficial at the end of the day. So, we are going to be proceeding with trying to connect the properties in order to create value out of having seven - six or seven or eight or ultimately 10 in the next 24 months, but today it doesn't mean anything yet.
Anthony Powell: Got it. Thanks. And one more, just the various I guess public safety and quality of life issues at San Francisco seem to be getting a bit lot more press. Press has talked about and whatnot. Do you think those have had an impact on transient demand in the market? And if so, what can you do as a property owner and the market to do about it?
Jon Bortz: Yes. So, I do think it is getting more press. I think it's a good and bad thing. In the short-term it's a bad thing that it's getting more press. In the long-term it's a good thing because it's important for the city and the community in San Francisco to understand the impact on their business their city, their neighborhoods and their employment at the end of the day. And so, ultimately there are lots of cities who have done a very good job with addressing the needs of the homeless the needs of people who have mental health issues. And I think the good thing about the mayor and increasingly the council in San Francisco is a recognition that there's a lot that can be done to address these issues to improve the quality of the environment for the people who live there who work there and who come to visit. And I think we view ourselves as a meaningful part of the community, the business community. We've been there for a long time. We'd like to be there for a long time. We're working closely not only through the Hotel Association, but actually on our own meeting with members of the government providing solutions that we’ve seen best practices that have worked in other cities connecting them with these organizations in other cities that they might not be familiar with. And so, we are taking a very active role in trying to help both from a time perspective from an idea perspective and from a financial perspective.
Anthony Powell: Got it. And just a follow-up. I mean have you heard of any groups canceling or moving conventions based on this issue?
Jon Bortz: Yes, there has been a couple at least, Anthony, that has written letters to the authority copy the city. One of those I think was the auto dealer association in 2020 it's either 2021 or 2023 that I don't know if they canceled or they just they didn't repeat. And I think there's been one other convention I think a medical convention that made a decision to go elsewhere and was very clear about the rationale.
Anthony Powell: Okay, thank you.
Jon Bortz: Alright. Thanks very much.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the call back over to Mr. Jon Bortz for any closing remarks.
Jon Bortz: So, just thanks for participating. One reminder, Wells Fargo and Raymond James along with Pebblebrook will be holding a L.A. Hotel tour the day before NAREIT begins on November 11. And if you're not – if you haven't signed up for that, but would like to please reach out to us and or Wells Fargo or Raymond James and we'd be happy to add you to the tour. Otherwise, we look forward to giving you an update on the year's performance in February of next year and we will see you at NAREIT in Los Angeles next month. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.